Operator: Welcome to the CalAmp fiscal 2009 first quarter presentation. (Operator Instructions) I would now like to turn the conference over to Lasse Glassen, Financial Relations Board. 
Lasse Glassen: Welcome to CalAmp's fiscal 2009 first quarter earnings call. With us today are CalAmp's President and CEO, Rick Gold, and the company's Chief Financial Officer, Rick Vitelle. Before I turn the call over to management, please remember that our prepared remarks and responses to your questions may contain forward-looking statements. Words such as may, will, expects, believes, estimates, could, and variations of these words and similar expressions are intended to identify forward-looking statements. Actual results could differ materially from those implied by such forward-looking statements made today due to risks and uncertainties including, but not limited to: fluctuations in market demand for CalAmp products and services, general and industry economic conditions, increased competition, continued pricing pressure in the DBS products, supplier constraints and manufacturing yields, timing and market acceptance of new product introductions and approvals, new technologies, the risk that the ultimate cost of resolving a product performance issue with one of the company’s key DBS customers may exceed the amount of reserves established for that purpose, and other risks and uncertainties that are described under the heading “Risk Factors” in the company’s Fiscal 2008 Annual Report on Form 10-K as filed with the SEC on May 15, 2008. Any projections as to the company's future financial performance represents management's estimates as of today, July 10, 2008. Management assumes no obligation to update these projections in the future due to changing market conditions or otherwise. With that, it is now my pleasure to turn the call over to CalAmp's President and CEO, Rick Gold. 
Rick Gold: Thank you for joining us today to discuss CalAmp's fiscal 2009 first quarter results. I will begin with comments on the financial and operational highlights from this past quarter, and then I will provide an update on several of our key business initiatives. Rick Vitelle will then discuss additional details on our financial results, balance sheet, working capital management and cash flow. I will wrap up with our revenue and earnings guidance for the second quarter of fiscal 2009, along with some concluding remarks. This will be followed by a question-and-answer session. Looking at our first quarter financial highlights and overview, total revenue for the first quarter was $27.9 million, slightly lower than the revenue guidance range of $29 to $32 million that we provided last quarter. Total revenue in the first quarter fell short of our projections primarily due to lower than expected shipments of satellite products, which generated revenues of $7.6 million in the quarter. However, as has been the case in the last several quarters, overall company revenues were driven by sales of our wireless datacom business, which were in-line with our expectations. Wireless datacom revenues of $20.3 million accounted for nearly 75% of our consolidated revenue in the latest quarter. I’m very encouraged with the progress we made during this latest quarter towards our goal of returning CalAmp to profitability. Results of operations included a GAAP loss from continuing operations of only $497,000, or $0.02 per diluted share, which was significantly better than the $0.05 to $0.08 loss that we provided as guidance last quarter. The overall improvement of profitability was due primarily to lower operating expenses as a result of steps we’ve taken to rationalize the operating cost structure. Excluding the amortization of intangible assets and stock-based compensation expense, we generated adjusted basis for non-GAAP income from continuing operations of $254,000, or $0.01 per diluted share. Adjusted basis income from continuing operations was also ahead of our guidance range, of break even, to a loss of $0.03 per share. I refer you to our first quarter earnings press release issued earlier today for a detailed reconciliation of the GAAP basis loss from continuing operations to adjusted basis income or loss from continuing operations. Clearly, an important recent business highlight was our resumption at the end of May or new DBS product shipments to what has historically been our largest customer. As a result of last year’s product performance issue affecting certain satellite products manufactured by CalAmp, our business with this important customer had been on hold for the last 12 months. We expect shipment volume to this customer will be modest during the next few months, as we work through typical production start up challenges, and then ramp higher over the following several quarters. Resuming our commercial relationship with this customer is an important milestone, and a key to getting our satellite business back on track. Over the next year we’ll work on restoring our DBS business to profitability. Our historic focus in DBS has been on revenue growth. Moving forward, we’ll focus on business that is strategic and sustainable. We remain committed to our DBS customers and our satellite business, and will continue to invest in areas where we bring the most value to our customers. This shift in focus will likely impact revenue contributions from our satellite products in the near term, but longer term should enhance CalAmp’s overall profitability and return on capital. Now let’s move on to an update on our wireless datacom business, which provides communication systems, products and services for applications in public safety, mobile resource management and industrial monitoring and controls. During the first quarter, the wireless datacom business generated revenues of $20.3 million, which is a 13% decrease on a year-over-year basis, and essentially flat on a sequential quarter basis. This year-over-year decrease was driven primarily by unusually high sales to a key OEM customer in the year-ago quarter to satisfy a large U.S. Department of Defense contract with this OEM customer. It should also be noted that revenue of our wireless OEM unit in the latest quarter included $150 million from the sale of non-strategic patents to a large, multinational electronics company. Excluding our wireless OEM unit and this patent sale, the remainder of the wireless datacom business experienced top-line growth of 10%, compared to the year-ago quarter. Within our wireless datacom business, our mobile resource management products are continuing to perform very well in the marketplace. Our MRM revenue more than doubled on a year-over-year basis, and was driven by customer acceptance of several products that were launched over the last year, that are targeted for applications in the vehicle tracking, fleet management, high value asset tracking, and public transit markets. MRM order bookings continue to exceed shipments. We now have more than 10 key MRM customers, each at a $1 million plus annual revenue run rate, up from 3 such customers a year ago. Aircept revenues in the first quarter were down sequentially for the second consecutive quarter, due primarily to the ongoing malaise in the used car market, both on the demand side and from the availability of capital for loans to car buyers with subprime credit. Macro-economic conditions that are causing problems in the vehicle finance market are posing both new challenges and opportunities for CalAmp. We’ve recently added emphasis on direct sales to major financing companies, and initiated telemarketing efforts and e-commerce capabilities to increase penetration of the fragmented used car dealership market. While our direct sales strategy did not materially impact the first quarter results, we’re beginning to see some positive signs in the current quarter. We’re also gaining some initial traction in our efforts to enter new verticals with a recent win for an ambulance tracking application. Our public safety mobile business continues to perform well, and we’re continuing to execute on a previously announced $2.3 million award for the deployment of a new public safety mobile data communications network for the city and county of Denver, Colorado. I’m also encouraged by contributions from our SmartLink interoperable voice platform, where we were recently selected by Grand Bahamas Power Company to deploy a new $1.5 million SmartLink system that will enable this utility company to provide island-wide, seamless radio/voice communications. The system will also allow Grand Bahamas Power Company to communicate with other public agencies on the island by utilizing the interoperability features of the SmartLink system. I’ll next discuss our recent organizational changes. We announced last month that we’ve consolidated our 2 divisions, the wireless datacom division and satellite division into one operating unit. That said, we’ll continue to report separate financial results for our satellite and wireless datacom product lines. By combining the 2 divisions into one streamlined operating unit, we expect to improve efficiencies and leverage CalAmp’s full range of engineering and operational resources, to best serve our customers across all of our lines of business. As part of this new operating structure, Michael Burdiek, formerly president of the wireless datacom division, has been appointed our new COO, and will be responsible for our company-wide operating activities. I’m confident that this important change in our operating structure will accelerate our profitable growth initiatives with our wireless datacom and satellite product lines. Before wrapping up, I’d like to briefly comment on our progress towards executing on the key strategic initiatives that we discussed on our last call. These included: first, strengthening our sales engine and distribution channels, including expanding internationally; second, penetrating adjacent vertical markets and applications; third, moving up the value chain to offer more services and integrated solutions; and fourth, exploiting technical and operational synergies among our lines of business. While many of these initiatives are longer term in nature, and we do not expect to see the fruits of our labor until next fiscal year, we’ve made good progress in the early stages of expanding our international wireless datacom business. Our MRM business unit has recently added 3 new international customers, operating in the United Kingdom, in the Middle East, and in Latin America. They each have $1 million plus annual revenue run rates. In addition, our cellular modem for MRM applications was recently approved for use by one of the largest cellular carriers in Mexico that we expect to be a source of significant business going forward. Also in the near term, we expect to see meaningful orders from a Russian customer for products with applications in industrial monitoring and controls. We’re also making progress in developing OEM alliances that will allow us to expand our public safety mobile offerings into European and Asia Pacific markets. Overall, we continue to be pleased with the progress and performance of our wireless datacom business. The critical mass we’ve developed, along with our broad technology platforms, gives us a competitive advantage that most other players in our markets cannot offer. But it’s a difficult macro-economic environment. Overall, our margins are holding steady, and we believe we’re gaining market share in most of our verticals. We expect our wireless datacom business will be a primary driver of shareholder value in the future. With that, I will now turn the call over to Rick Vitelle, our Chief Financial Officer, for a closer look at the first quarter details.
Rick Vitelle:
 : I am going to provide a summary of our gross profit performance, working capital management and cash flow results for the fiscal 2009 first quarter. Consolidated gross profit for the fiscal 2009 first quarter was $9.4 million, or 33.8% of revenues, compared to negative gross profit of $5.4 million for the same period last year. The increase in consolidated gross profit was primarily attributable to a $16 million charge, recorded in the first quarter of last year, for estimated product warranty and other costs associated with a product performance issue involving satellite products supplied to one of our key DBS customers. The first quarter consolidated gross profit margin of 33.8% was the highest quarterly gross product margin, per se, that we’ve achieved in recent memory, and is due in large part to an overall shift in product mix. In the first quarter of last year, wireless datacom products, which generate higher gross margins than the satellite business, represented approximately 50% of total revenue, while in the latest quarter, wireless datacom accounted for nearly 75% of total revenue. In addition, our first quarter results benefited from two non-recurring items, the $1.5 million sale of un-utilized patents, and the sale of slow-moving satellite products, for which the inventory cost of $587,000 had been fully reserved in the prior year. Together, these two items contributed approximately $2 million in gross profits in the latest quarter. Now, taking a look at gross profit performance by reporting segment, gross profit for satellite products was $733,000 in the latest quarter, or 9.6% of revenues, contrasted with negative gross profits of $13.9 million in the first quarter of last year. The increase in satellite products gross profit and gross margin in the latest quarter were due mainly to the fore-mentioned $16 million charge recorded in the first quarter of last year. Despite this improvement, the gross margin percentage for satellite products remains far below historic levels. This is due primarily to reduced business with a key customer that resulted in lower manufacturing overhead absorption rates, which adversely affects the gross margin percentage. Wireless datacom gross profit was $8.7 million in the latest quarter, or 42.9% of wireless datacom revenue. This compares to gross profit of $8.5 million, or 36.5% of revenue in the same period of last year. Without the benefit from the sale of the patents, wireless datacom gross margin in the latest quarter would have been 38.4%. Now, moving onto the balance sheet, our total inventory at the end of the first quarter was $25.4 million, representing annualized inventory turns of approximately 3 times. This is relatively unchanged from the prior quarter. We expect the annualized inventory turns to start increasing as we convert the long-standing DBS inventory to revenue in the coming quarters. The first quarter accounts receivable balance of $16 million was down from $20 million at the end of the fourth quarter, and represents a 52-day average collection period. Our primary sources of liquidity are our cash and cash equivalents that amounted to $7.2 million at the end of the first quarter, up from $6.6 million at the end of the prior quarter. Net cash provided by operating activities in the first quarter was $1.8 million. Total debt at the end of the quarter amounted to $32.1 million, which is comprised of $27.5 million of bank debt and a $5 million note payable to a key DBS customer. I’ve checked that – the bank debt is $27.1 million. During the first quarter, the bank debt was reduced by $470,000. With that, I'll now turn the call back over to Rick Gold for our second quarter guidance and some final comments.
Rick Gold: Now let’s turn to our financial guidance. Our second quarter guidance remains cautious due in part to continued uncertainties surrounding the U.S. economy that could impact purchase decisions by key customers. We also anticipate a decline in sales of certain lower margin satellite products, as we focus on ramping our volume of the recently re-qualified products. Overall, we expect wireless datacom revenue to be roughly flat, compared to the first quarter, and satellite revenue to be down from Q1. Based on our current estimates, we believe that fiscal 2009 second quarter revenue will be in the range of $24 to $28 million, with a net loss in the range of $0.04 to $0.08 per diluted share. The adjusted basis for non-GAAP results of operations for the second quarter, which exclude amortization of intangible assets and stock-based compensation expense, both net of tax, are expected to be in the range of break even to a loss of $0.04 per diluted share. Now that I’ve been at CalAmp as CEO for a full quarter, I want to take this opportunity to outline our vision of where CalAmp is heading. Over a 25 year history as a public company, CalAmp has gone through several business transformations. Four years ago, CalAmp’s management and board determined that the satellite business was not sufficient by itself as the foundation of a sustainable, growing and profitable enterprise that created long term shareholder value. Based on this assessment, and the strength of the satellite business, CalAmp entered several new wireless communications markets, primarily through acquisitions. Public safety mobile, industrial monitoring and controls, and mobile resource management are all mid-size markets that are attractive in terms of profitability and growth, and also fit CalAmp’s core competencies of developing and supplying products and services for critical wireless communications networks. By fiscal 2008, CalAmp was successful in establishing a viable wireless datacom business, yet at the same time the satellite business faltered. No that some of that dust is beginning to settle, we’re in a position to provide a longer term outlook, and a vision of where we expect CalAmp to be in the future. By the middle of our next fiscal year, FY2010, we’re targeting a consolidated quarterly revenue run rate of approximately $40 million. We’re targeting a wireless datacom quarterly revenue run rate greater than $25 million, with gross margins above 40%, and a satellite business that is profitable. Our target consolidated gross margin at that point is greater than 30%, and a target adjusted basis consolidated operating margin, excluding amortization expense and FAS 123 stock compensation expense, is greater than 8%. Looking farther ahead, our objective is a business with double digit, top line, and organic growth with wireless datacom as the growth engine. And with a market position, a customer diversity, and operating profile that can ultimately drive our adjusted basis operating margin above 10% with healthy positive operating cash flow. These predictions are predicated on our ability to continue executing operationally, on the success of our strategic growth initiatives, and on the assumption that the macro-economic environment will not deteriorate further. In concluding our prepared remarks, I’d like to recap some key points from our recent results. While first quarter revenues were slightly lower than expectations, we made excellent progress on our path to profitability with both GAAP and adjusted basis earnings exceeding our guidance range. We announced a new operating structure and leadership changes that I believe will streamline our organization and improve operating efficiencies. Wireless datacom business posted another strong quarter. Our strategic growth initiatives are on track, and this business is poised for long term profitable growth. We’ve demonstrated our commitment to rebuilding our competitive position in the DBS business, and have resumed product shipments to our historically largest customer after a year-long hiatus. There’s much work ahead, but I’m confident that we can return CalAmp to sustainable profitability. That concludes our prepared remarks. Thanks for your attention, and at this time I would like to open the call up to questions.
Operator: (Operator Instructions) Your first question comes from Kevin Dede - Morgan Joseph. 
Kevin Dede – Morgan Joseph: Could you give us just a snapshot of the competitive landscape, DBS, now, and where you think you are in the catch cycles there? Which products are the higher margin versus the lower margin, and how you expect that migration to proceed?
Rick Gold: The higher margin products have generally been the more recent products that are more fully featured, the products that address the HD, the multiple satellites, the ability to have multiple outputs, the ability to support DVRs, etc. We have, over the last couple years, been making a push to really focus on the high end products, and where we believe that our engineering expertise allows us to design products that, from both a performance and a cost standpoint, have advantages. That said this is a very competitive business. Every product that either of the major operators is using is sourced from multiple suppliers, and there is a substantial amount of competitive price pressure in the market. Going forward, we expect that we intend to participate in new design activity, where it makes sense, and particularly in those cases where we believe our technology base and our manufacturing supply chain allows us to compete effectively. We don’t anticipate that we will necessarily be participating in the highest volume, mature products, which are the ones that are at the greatest risk of commoditization and have the greatest price pressure. So, that’s going to be part of the calculation as we look forward. There are also some special products that we are looking at currently, that are not necessarily the traditional LMB products, but special products where we can bring some of the expertise that we have in our wireless data business to bear on applications addressing satellite as well. 
Kevin Dede – Morgan Joseph: Given the full features, multiple satellites, DVR, HD, where do you think your customers are in terms of upgrading their customer base, and how do you think they’re going to proceed? What demand does that put on you? And, more specifically, where do you think you stand in terms of market share on that high end versus the low end?
Rick Gold: I think there’s clearly a trend at both of the major U.S. operators towards the higher feature set, customer premise equipment. And if you look at the business that we serve, the outdoor customer premise equipment business, the bulk of shipments today is driven by either turn or upgrade, much more so than the actual net subscriber growth. Both of the major operators are looking at that upgrade cycle as a way to drive up their average revenue per customer. It has been, really for the last couple years, but continues to be, an important initiative for both of them. They’re both part way through that cycle, and we expect that cycle has another couple or three years to run, and beyond that it’s hard to say. But there is definitely that. Now, both of those customers are also migrating their programming among different satellites, they continue to be launching new satellites, so some of the orbital configurations are changing and we do anticipate that there will continue to be evolutions of products both to drive cost, as well as to drive functionality. The roadmaps continue to evolve there. Our intent is to participate our market share was as high as 50% in this market. We believe a few years ago, right now at the levels we’ve been at for the last couple quarters, our market share has been single digit. But as we rebuild our business to our historically largest customer, we expect that to grow, although I think it’s highly unlikely, given our strategic focus that we’re going to get back to the levels where we were before. But we expect to and our objective here is to regain a position as one of the leaders in the market, although just given the dynamics of the market today I think it’s unlikely that anyone is ever going to get to that position where we were a few years ago.
Kevin Dede – Morgan Joseph: Would you mind just giving us a little more insight on how you see the datacom business going, specifically with regard to the 3 sectors you focus on – public safety, industrial control and MRM? Just for the near term, you expect revenues to be flattish there. I’m just wondering what has you excited, going beyond next quarter. And where do you think the real impedes for growth comes from?
Rick Gold: I think in the current quarter, where we expected to be relatively flat, it’s relatively flat, net of softness, there's softness in the Aircept business, that I mentioned, there was the one time revenue from the patent sale in Q1, and our OEM business there has been soft for the last few quarters. Where we’re seeing the growth is in, really, the three primary areas that you just mentioned the public safety mobile, industrial monitoring control and the MRM. Of those three, the MRM business is the one that, right now, is showing the most growth and also the most diversity of customers and applications. I’d say right now it’s the business that clearly has us the most excited from a hardware standpoint. But also, ultimately, we believe that the Aircept platform will allow us to expand that business up the food chain, beyond simply the vehicle finance vertical where we participate today. So, I would say right now, that’s the business where, just from a standpoint of significant new customers, I mentioned the $1 million run rate customers where we’ve gone from three to ten in the last year, there’s a very solid pipeline of new business opportunities there. So I think that is a business that has been growing, and we expect it to continue to. In the industrial monitoring control business and the public safety mobile, those are lumpier businesses, they tend to depend a little more on major programs, and we have a solid pipeline at this point in both of those. We are looking, again, as I mentioned earlier and I touched on in the last call, at some bigger opportunities that involve more comprehensive pieces of the systems, as well as a bigger presence that CalAmp, or the companies we acquired, typically had up and down the food chain. So, I think those markets aren’t growing as fast as the MRM market is growing, but our strategy there focuses more on growing our distribution coverage as well as growing the scope of the system offering that we’re able to present to the customers. I'm excited about those less so from the standpoint of the market growth than from the standpoint of what we’re going to be able to do there. Although, with a caveat, as I mentioned early, that those are some initiatives which are going to evolve over the next year or so. But they’re going to be important in terms of driving us to the revenue level that I was talking about for the mid 2010 timeframe.
Kevin Dede – Morgan Joseph: With regard to that dialogue, on that point, you mentioned gross margins expanding about 15 points. I’m wondering if you can talk to how you see that happening, specifically with regard to integrating all the different components of your business. specifically datacom and satellite. 
Rick Gold: Firstly, we don’t actually anticipate the margin expanding. If you look at the current quarter, we were actually higher than the margin that we’re targeting there. So, the target gross margin that we’re looking for is 30% overall and 40% for wireless data. We’ve been bouncing around the 40% number for wireless data the for last few quarters, and the 30% overall number, assuming that we’re doing that level of performance in wireless data, and that we have a profitable satellite business, we believe that that consolidated margin is achievable. I think, going forward, it’s less about expansion of gross margin than it is about growing the top-line. And as a result of growing the top-line, just having the OpEx burden as a percent of revenue be less. And so, at the operating margin level, it’s really a function of maintaining roughly where we’ve been at the last couple quarters at the gross margin percentage, growing the top-line while keeping the OpEx controlled.
Kevin Dede – Morgan Joseph: So, margin expansion in terms of scale versus consolidation of operating activities?
Rick Gold: Exactly, but we do believe that, based on what we see from the competitive dynamic in the wireless data business, from our product positing, and particularly as we move higher up the food chain, some of the services, some of the maintenance and support that historically we either have not done, or we have tended to throw in as part of the hardware, we’re now taking that much more seriously as a business opportunity in itself. So, those all have the potential to either support the current margin, or allow it to expand it further. But all these markets are competitive, so we’re comfortable projecting gross margins that are comparable to where we are today, at the same time as we are expanding the top-line of the business. I think the basic message is that we’re not going to expand the top-line just by slashing pricing in that market because we don’t feel like we have to do that.
Kevin Dede – Morgan Joseph: Give us an idea of your headcount, where you expect it to go, and how you’re working on the sales and marketing effort to grow the top-line.
Rick Gold: Our headcount right now is slightly over 400, company wide. It was higher than that a couple years ago when we were at a higher run rate on the satellite products. It dropped below 400 over the past year, during the hiatus there. It’s recently grown slightly over 400. But given our distributed manufacturing model and our heavy use of outsourcing, particularly at the sub-assembly level, we don’t anticipate that that number is going to grow significantly in the near to medium term. On the sales and marketing piece, we have added a couple in the last few months. We’ve added a couple key hires in business development and sales management at the product line levels. We expect to do a little more of that. But a big push there is we’ve added folks there to make sure that we’re bringing people on that have experience working with partners and working with channels, which is not something that CalAmp has historically done a lot of, which we think is going to be important as we go forward. We don’t anticipate a whole lot more headcount there, but there will be a little more in the sales and marketing area. We expect that that’s going to track with revenue as we grow. I think we’ve pretty much done what we need to do, ahead of the curve. And going forward, we should be able to track that and start to get some of the economies.
Kevin Dede – Morgan Joseph: Can you give us some examples of partners you expect to work with, and what announcements we might look for?
Rick Gold: I can’t talk to any of the specifics there, but we’re looking at some system integrators. I’ll just give you one generic example. In the public safety area, we have a very, very strong presence on the data side, we have a strong product portfolio, and we have a strong support capability. We are not as significant, in terms of the scale of system integration capabilities, as some of the customers in that market require for some of the bigger systems. The system we’re doing in Denver right now, for instance, is as big an installation as we have done. But there are even bigger jobs that are out there. Plus, some of the larger jobs require both data and voice capabilities, they sometimes have other pieces of the IT solution as part of the job – so in many of those cases, there are large system integrators involved. We have a couple projects that we are currently bidding, as part of a team, working with some major system integrators. One thing I would add on that, by the way, is there are a couple that piece of the answer was targeting the vertical that we’re already in. In a couple of these other areas, and a big piece of where we expect, there’s opportunities for revenue expansion. In the medium term, is taking some of these products into some adjacent verticals, where it’s fundamentally the same basic product, the same basic capability, but addressing a set of customers that we do not have historical relationships with. And in some cases as part of a solution where we don’t have the total solution capabilities, so, there’s a couple of those that we’re looking at, that we are hopeful that within the next couple quarters we will be making some announcements on. In one of those, we’re a subcontractor, and in one of those we’re actually the prime contractor, but bringing along a partner as part of that.
Operator: At this time there are no further questions in the queue.